Operator: Thank you for standing by. My name is Eric, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q3 2025 SandRidge Energy conference call. [Operator Instructions] I would now like to turn the call over to Scott Prestridge, SVP of Finance and Strategy. Please go ahead.
Scott Prestridge: Thank you, and welcome, everyone. With me today are Grayson Pranin, our CEO; Jonathan Frates, our CFO; Brandon Brown, our CAO; as well as Dean Parrish, our COO. We would like to remind you that today's call contains forward-looking statements and assumptions, which are subject to risk and uncertainty, and actual results may differ materially from those projected in these forward-looking statements. These statements are not guarantees of future performance, and our actual results may differ materially due to known and unknown risks and uncertainties as discussed in greater detail in our earnings release and our SEC filings. We may also refer to adjusted EBITDA and adjusted G&A and other non-GAAP financial measures. Reconciliations of these measures can be found on our website. With that, I'll turn the call over to Grayson.
Grayson Pranin: Thank you, and good afternoon. I'm pleased to report on a positive quarter for the company. Third quarter production averaged approximately 19 MBoe per day, an increase of approximately 12% on a Boe basis and 49% on oil, translating to a roughly 32% increase in revenue and a 54% increase in adjusted EBITDA relative to the same period last year, benefiting from increased volumes from our prior Cherokee acquisition and development program this year. I'll turn things over to Jonathan for some more details on financial results for the quarter.
Jonathan Frates: Thank you, Grayson. Compared to the third quarter of 2024, the company continued to benefit from higher natural gas prices, partially offset by headwinds in WTI. The company continued to grow production, generating revenues of approximately $40 million, which represents a 32% increase compared to the same period last year. Adjusted EBITDA was $27.3 million in the quarter compared to $17.7 million in the prior year period. We continue to manage the business within cash flow while growing production and utilizing our substantial NOL, which shields us from federal income taxes. At the end of the quarter, cash, including restricted cash, was approximately $103 million, which represents approximately $2.80 per common share outstanding. The company paid $4.4 million in dividends during the quarter, which includes $0.6 million of dividends paid in shares under our dividend reinvestment plan. Including special dividends, SandRidge has now paid $4.48 per share in dividends since the beginning of 2023. On November 4, 2025, the Board of Directors declared a $0.12 per share dividend payable on November 28 to shareholders of record on November 14, 2025. Shareholders may elect to receive cash or additional shares of common stock through the company's dividend reinvestment plan. Year-to-date through the end of the quarter, the company repurchased approximately $600,000 or $6.4 million worth of common shares. Our share repurchase program remains in place with $68.3 million remaining authorized. Capital expenditures during the period were roughly $23 million, including drilling and completions and new leasehold acquisitions. The company has no debt outstanding and continues to live within cash flow, funding all capital expenditures and capital returns with cash flows from operations. Commodity price realizations for the quarter before considering the impact of hedges were $65.23 per barrel of oil, $1.71 per Mcf of gas and $15.61 per barrel of NGLs. This compares to second quarter realizations of $62.80 per barrel of oil, $1.82 per Mcf of gas and $16.10 per barrel of NGLs. Our production remains meaningfully hedged through the fourth quarter of the year with a combination of swaps and collars representing approximately 35% of fourth quarter production based on guidance. This includes approximately 55% of natural gas production and 30% of oil. These hedges will help secure a portion of our cash flows and support our drilling program through recent commodity price volatility. Despite growing production, our commitment to cost discipline continues to yield results with adjusted G&A for the quarter of approximately $2.1 million or $1.23 per Boe compared to $1.6 million or $1.02 per Boe in the third quarter last year. Net income was approximately $16 million during the quarter or $0.44 per basic share and adjusted net income was $15.5 million or $0.42 per basic share. This compares to $25.5 million or $0.69 per basic share and $7.1 million or $0.19 per basic share, respectively, during the same period last year. Adjusted operating cash flow was $28 million during the quarter. Finally, despite the ramp-up of our capital program, the company generated free cash flow before acquisitions of roughly $6 million during the quarter and $29 million year-to-date. Before shifting to our outlook, we should note that our earnings release and 10-Q will provide further details on our financial and operational performance during the quarter. Now I'll turn it over to Dean for an update on operations.
Dean Parrish: Thank you, Jonathan. Let's start with recent results. During the third quarter, the company successfully completed and brought online 3 wells from our operated 1-rig Cherokee drilling program. We are currently completing the fifth and sixth wells in the program in our drilling the [indiscernible]. We are pleased with the results of the first 4 operated wells, which had a per well average peak 30-day production rate of approximately 2,000 Boe per day, made up of 43% oil. The first well in the program has now produced approximately 275,000 Boe in its first 170 days of production, demonstrating strong rates beyond the initial 30 days, which indicates attractive recovery trends. A majority of the remaining wells in our development program this year directly offset these and other proven wells in the area, which have had similar performance. These wells and the results in the area give further confidence in reservoir quality and expectations in the area. Moving to our capital program. We plan to drill 8 operated Cherokee wells with 1 rig this year and complete 6 wells. The remaining 2 completions are anticipated to carry over into next year. Currently, all but one of our planned wells are proved undeveloped or PUDs, meaning that our planned drilling locations this year will offset producing wells, which translates to higher relative confidence in well performance. Gross wells costs vary by depth, but are estimated to be between $9 million and $12 million. While we have taken proactive steps to help mitigate the effects of inflation, further changes to tariffs or other factors could influence these costs in the future. We intend to spend between $66 million and $85 million in our 2025 capital program, which is made up of $47 million to $63 million in drilling and completions activity and between $19 million and $22 million in capital workovers, production optimization and selective leasing in the Cherokee play. Our high-graded leasing is focused to further bolster our interest, consolidate our position and extend development into future years. We intend to fund capital expenditures and other commitments using cash flows from our operations and cash on hand. Our legacy assets remain approximately 99% held by production, which cost effectively maintains our development option over a reasonable tenor. These non-Cherokee assets have higher relative gas content, but commodity price futures are not yet at preferred levels to resume further developments or more well reactivations at this time. Commodity prices firmly over $80 WTI and $4 Henry Hub over a constant tenor and/or reduction in well costs are needed before we would return to exercise the option value of further development or well reactivations. Now shifting to lease operating expenses. LOE and expense workovers for the quarter were approximately $10.9 million or $6.25 per Boe compared to $5.82 per Boe in the third quarter last year. We will continue to actively press on operating costs through rigorous bidding processes, leveraging our significant infrastructure, operation center and other company advantages. With that, I'll turn things back over to Grayson.
Grayson Pranin: Thank you, Dean. As we look forward to developing our high-return Cherokee assets this year and into next, we anticipate growing oilier production volumes further. From a timing perspective, we expect to deliver 2 more wells to sales this year with another 2 completions carrying over into next year. This, combined with further drilling, could see production volumes, specifically oil volumes increasing meaningfully above 2025 exit rate levels. At current commodity prices, our operated Cherokee wells have robust returns and breakevens for our planned wells are down to $35 WTI. Given these returns and durability, we plan to continue our 1-rig development plan into next year with a watchful eye to adjust if needed. Please keep in mind that we do not have any significant leasehold expirations in the near term and have the flexibility to defer these projects if needed for a period of time. We are hopeful that our nearly 24,000 net acres in the Cherokee play will translate to a meaningful multiyear runway as we look beyond 2025. And we plan to continue to invest in new leasing and other opportunities that will further bolster our operating position and extend that runway. I would like to pause here to highlight the optionality we have across our asset base, coupled with the strength of our balance sheet, which sets us up to leverage commodity price cycles. The combination of our oil-weighted Cherokee and gas-weighted legacy assets as well as robust net cash position give us multifaceted options to maneuver and take advantage of different commodity cycles. Put simply, we have a strong balance sheet and a versatile kitbag, which makes the company more resilient and better poised to maneuver and adjust no matter the commodity environment. I will now revisit the company's advantages. Our asset base is focused in the Mid-Continent region with a PDP well set that provides meaningful cash flow, which does not require any routine flaring of produced gas. These well-understood assets are almost fully held by production with a long history, shallowing and diversified production profile and double-digit reserve life. Our incumbent assets include more than 1,000 miles each of owned and operated SWD and electrical infrastructure over our footprint. This substantial owned and integrated infrastructure helps derisk individual well profitability for a majority of our legacy producing wells down to roughly $40 WTI and $2 Henry Hub. Our assets continue to yield free cash flow. This cash generation potential provides several paths to increase shareholder value realization and is benefited by low G&A burden. SandRidge's value proposition is materially derisked from a financial perspective by our strengthened balance sheet, including net negative leverage, financial flexibility and advantaged tax position. Further, the company is not subject to MVCs or other significant off-balance sheet financial commitments. We have bolstered our inventory to provide further organic growth opportunities and incremental oil diversification with low breakeven in high-graded areas. Finally, it is worth highlighting that we take our ESG commitment seriously and have implemented disciplined processes around them. We are particularly proud to announce that our team recently achieved 4 years without a reportable safety incident. This incredible achievement demonstrates our continued commitment to putting the health and safety of our employees and contractors at the forefront of our business. Not only do we continue to operate our existing assets extremely efficiently and execute on our Cherokee development in an effective manner, but we do so in a prudent and safe manner. Shifting to strategy. We remain committed to growing the value of our business in a safe, responsible, efficient manner while prudently allocating capital to high-return growth projects. We will also evaluate merger and acquisition opportunities in a disciplined manner with consideration of our balance sheet and commitment to our capital return program. This strategy has 5 points: one, maximize the value of our incumbent Mid-Con PDP assets by extending and flattening our production profile with high rate of return production optimization projects as well as continuously pressing on operating and administrative costs. Two, exercise capital stewardship and invest in projects and opportunities that have high risk-adjusted fully burdened rates of return while being mindful and prudently targeting reasonable reinvestment rates that sustain our cash flows and prioritize a regular way dividend. An important part of this organic growth strategy is further progressing our Cherokee development and economically growing our production levels while providing further oil diversification. However, we will continue to exercise capital stewardship and maintain flexibility to respond to changes in commodity prices, costs, macroeconomic and other factors. Three, maintain optionality to execute on value-accretive merger and acquisition opportunities that could bring synergies, leverage the company's core competencies, complement its portfolio of assets, further utilize its approximately $1.6 billion of federal net operating losses or otherwise yield attractive returns for its shareholders. Fourth, as we generate cash, we will continue to work with our Board to assess path to maximize shareholder value to include investment in strategic opportunities, advancement of our return of capital program and other uses. Our regular way quarterly dividend is an important aspect of our capital return program, which we plan to prioritize in capital allocation along with opportunistic share repurchases. The final staple is to uphold our ESG responsibilities. Now shifting over to administrative expenses. I will turn things over to Brandon.
Brandon Brown: Thank you, Grayson. As we approach the conclusion of our prepared remarks, I will point out our third quarter adjusted G&A of $2.1 million or $1.23 per Boe continues to compare favorably to our peers. The continued efficiency of our organization reflects our core value to remain cost disciplined as well as prior initiatives, which have tailored our organization to be fit for purpose. We will maintain our efficiency and low-cost operation mindset and continue to balance the weighting of field versus corporate personnel to reflect where we create value. Outsourcing necessary but perfunctory and less core functions such as operations accounting, land administration, IT, tax and HR has allowed us to operate with total personnel of just over 100 people while retaining key technical skill sets that have both the experience and institutional knowledge of our business. In summary, at the end of the third quarter, the company had over $100 million in cash and cash equivalents, which represents approximately $2.80 per share of our common stock outstanding, an inventory of high rate of return, low breakeven projects, low overhead, top-tier adjusted G&A, no debt, negative leverage. A flattening base PDP production profile, double-digit reserve life and approximately $1.6 billion of federal NOLs. This concludes our prepared remarks. Thank you for your time today. We will now open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of [ David Terdell ] with [indiscernible].
Unknown Analyst: Congratulations on a great quarter and what looks like a fantastic purchase in Cherokee. Can you talk a little bit more about M&A activity in the Cherokee opportunities for you guys, M&A opportunities overall? And maybe discuss a little bit more about how a year later after having bought these assets, how you can evaluate the success of that purchase?
Grayson Pranin: Sure, David, it's great to hear from you and a great series of questions. I'm going to try to tackle from the top if I missed something, please let me know. I think M&A opportunities in the Cherokee exist, although it's a very competitive landscape. So we continue to keep our eyes wide open. I think those opportunities are right now predominantly leasehold or acreage related because a lot of the PDP is new and building, so there's not that sustained level of PDP-based cash flow like you'll get in more aged assets. And that could change over time as further development occurs in the play. I think within the overall Mid-Con, the M&A landscape is healthy. There's been a number of deals announced within Mid-Con overall within the last several weeks. We continue to look at a lot of these and look for opportunities that could have synergies, whether that's in the Cherokee play or within our legacy assets or areas that we could apply our low-cost know-how where there's incremental margin that can be added through our own skill sets and through our structure, right? Because we have this 24-hour, 7-day a week man operations center that allows us to operate very cost effectively. And from a back-office perspective, we can add assets very efficiently without really increasing G&A materially. As we look towards last year's acquisition, I think we continue to see that as very favorable. Not only did it add accretive cash flow, but the operations side of the house has been able to add meaningful margin by reducing costs and on some of the PDP wells, finding opportunities that make that production curve up and to the right through low-cost workovers and other activity there. I think you can see the results of that. And David, you pointed out for themselves, just look at the growth, not only from the acquisition, but what we've been able to do from a development perspective year-over-year with EBITDA near 54% increase -- so I think we're very pleased. And hopefully, that answers your questions. I'm happy to follow on as needed.
Operator: [Operator Instructions] There are no further questions at this time. Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.